Takuro Hanaki: Thank you very much for attending today despite your busy schedules. We would like to start the briefing session on NTT's fiscal year 2024 first quarter financial results. I am Hanaki from the IR Office and will be facilitating today's session. First, I would like to introduce today's attending members. Hiroi, Representative Member of the Board, Senior Executive Vice President; Nakamura, Executive Officer, Head of Finance and Accounting; Hattori, Executive Officer, Head of Corporate Strategy and Planning. The audio of today's briefing is streamed live. We are planning to have on-demand streaming on our website at a later date, so we seek your understanding on this matter. As for today's materials, please refer to presentation materials on our IR website. On the first page of the material, points to be noted are listed, so we kindly ask you to please go through them. Today, Senior Executive Vice President, Hiroi, will explain the overview of our financial results, followed by Q&A. Mr. Hiroi, please go ahead.
Takashi Hiroi: Thank you very much, Hiroi is my name. Thank you for joining us despite your busy schedule. We appreciate your attendance at the presentation of the financial results. So allow me to present to you the financial results for the first quarter of fiscal year 2024. As far as the financial results are concerned, operating revenue increased, but operating profit decreased. As for operating revenue, this increased ¥129 billion and reached up to ¥3.240 trillion due to gains in operating revenue in the Integrated ICT Business and the Global Solutions Business. There was positive foreign exchange impact of roughly ¥80 billion. As for operating profit, there was drop in telecommunication service revenue for fixed and mobile. Also, there is cost to reinforce customer base and for removal of unnecessary assets in order to reduce maintenance costs at NTT East and West. There is also cost pertaining to disaster recovery. So operating profit decreased by ¥38.8 billion and went down to ¥435.8 billion. Although operating profit declined, I believe the performance is very much in line with the guidance we have given at the outset. We will continue to reinforce customer base through sales reinforcement and network quality improvement. And also on top of steadfast cost reduction and expansion of enterprise business as we work to achieve consolidated profit plan. Profit decreased by ¥101.6 billion and went down to ¥274.1 billion due to the drop in operating profit and rebound from the proceeds from the sales of shares last year. EBITDA decreased ¥23.1 billion year-on-year and went down to ¥815.3 billion due to the drop in operating profit. Please turn to the following page. Please turn to Page 5. I'd like to talk about the contributing factors by segment. Let me start with the Integrated ICT Business segment. Even though mobile communication service revenue continues, growth in finance payment, especially in the Smart Life business sector helped to drive increase in operating revenue. Although operating profit increased in Smart Life business, overall operating profit decreased year-on-year due to increase in cost to reinforce customer base. We will work to reduce costs and reinforce customer base in order to deliver the annual plan. As for Regional Communications segment, operating revenue and operating profit decreased year-on-year due to drop in network revenue as well as the removal of unnecessary assets to reduce maintenance cost and also replace aging facilities. We also saw cost increase due to disaster recovery cost. So therefore, both operating revenue and operating profit declined for the Regional Communications segment. Both revenue and profit are in line with the plan, and we will work to pursue selection and focus of business and actively tackle fundamental cost reduction as well as operational efficiency improvement. Let me now turn to Global Solutions Business segment. NTT DATA provided details when they made their financial presentations yesterday. But on top of increased revenue in public sector finance and enterprise sector here in Japan, foreign exchange impact led to increase in both operating revenue, while operating profit was flat. As well as the other segment, we recorded an increase in operating revenue and operating profit driven by expansion of sales of housing at NTT Urban Solutions. So that is the outline of the financial results rather. Please turn to Page 6. I would now like to talk about shareholder return. We will carry out share buyback of up to ¥200 billion in order to improve capital efficiency. And the period will be roughly from August 8 of fiscal year 2024 up until March 31, 2025. This is done to improve capital efficiency and to enhance shareholder return, especially you see the market volatility in the last few days. Speaking Japanese, stocks are struggling, but it's important that we provide strong shareholder return. We will continue to work hard so that we'll be able to support the overall share price in the marketplace. Next, let me talk about some of the topics, starting from Page 8 and onwards. Page 9, first is established NTT AI-CIX to promote linked AI is what I would like to explain. To realize the shift from conventional individual AI that optimizes each business and industry to a linked AI that links in a cross-business cross-industry way, NTT AI-CIX will be established in August this year. By utilizing cross-business cross-industry data and realizing the optimization of the entire supply chain, we aim to solve social issues such as labor shortages. Next, Page 10, please, promoting the further development of tsuzumi. NTT version LLM tsuzumi's situation. Since the commercialization in March 2024, customers from a variety of fields showed interest, and we are now making over 400 proposals for implementation. We have received orders from companies such as Yamato Transport Company and [Fukui Prefecture] and others. In addition, we have started that tsuzumi partner program, and Transcosmos is participating in it, and we will start providing tsuzumi on Microsoft Azure. Going forward, we will collaborate with our partners to accelerate the expansion of tsuzumi, both domestically and overseas. And Page 11. This is nwm ONE, we call it nwm ONE. You see this graphics here and photograph, we will be selling the device and headphone. Conventionally, in the name of nwm we've already sold a product. But in addition to the existing lineup utilizing NTT's proprietary technologies, PSZ and Magic Focus Voice. We have made this in a double-equipped for the first time and launched the nwm ONE, which is an open ear flagship model. And this is sold on Amazon, so I would like you to make the purchase of it. I myself is actually using this. And it is very -- it's providing a very good sound quality is what I feel. If you download the app, you will able to adjust various levels of the sounds. And even though you're doing a remote working, you can listen to the content of the meeting itself. And because it's open ear, you'll be able to hear outside sounds as well. So I think it's a good product for remote working. The price is ¥39,600. So I would like you to make a purchase of this. And next, Page 12, it is the current status and future of renewable energy business. We, in 2023, we have acquired Green Power Investment, a leading domestic renewable energy company. And added wind power generation to solar power generation capabilities and anticipates achieving a renewal energy acquisition forecast of 8 billion kilowatt per hour per year by 2030. NTT will strengthen the support for customers by green transformation by leveraging the group's renewable energy-related assets, technologies and solutions. And next, Page 13 is showing the status of the number of shareholders, the number of shareholders' trend since becoming listed. After the stock split announcement, the number of shareholders continues to increase. And as of the end of June of this year, compared to before the stock split announcement, the number of shareholders increased by 2.5x to 2.26 million, and this is setting a new record high. As shown on the right-hand pie chart, the age composition of shareholders has become quite diverse and various age groups shareholders own our shares. And for us, this shareholders composition, we take it as a positive situation. Lastly, Page 14. Here, we are showing the progress under the medium-term management strategy. For this part, we are showing the progress since this May, and it is as shown here. So I'd like you to read through them. This concludes my explanation.
A - Takuro Hanaki: Thank you very much, Mr. Hiroi. I would now like to go on to the Q&A session at this juncture. We'll take questions from those of you who have registered in advance and who are connected to the web conference system at this moment. You have any questions, please use the raise-hand button of the web conference system. If you wish to cancel your question, please press the raise-hand button once again. When we designate you, we will call out your name and affiliation. We ask you to unmute your microphone. Please make sure that you're able to unmute the microphone over the web conference system. When your question is over, please make sure that your microphone is unmuted until we complete the response. So we'll now take questions. So from Nomura Securities, Mr. Nomura -- Mr. Masuno, correction, please. Go ahead with your question.
Daisaku Masuno: Thank you. My name is Masuno from Nomura Securities. Can you hear me?
Takashi Hiroi: Yes, we hear you clearly, sir.
Daisaku Masuno: Thank you. I'd like to ask two questions. My first question is in regard to Regional Communication Business. For this period, you promoted cost reform in this sector. Can you elaborate more on the cost transformation and cost reduction plan that you're pursuing at this moment? What are you specifically doing in order to reduce cost? Also for this fiscal year, I think you would be addressing duplicate costs. So this should have negative impact on your profit and loss. But what about the next fiscal year? Will the cost transformation efforts turn, bring about positive effects next fiscal year? That's what you've been doing. How much positive impact do you see? Can you talk about cost structural reform? What type of structural reform you are queuing at? And what we can expect as a way of benefit for the next fiscal year? That is our question. Thank you very much.
Takashi Hiroi: My name is Hiroi, let me respond to your question. I'd like to explain in relation to your question, sir. So with regard to NTT East and West, we try to reinforce through cost competitiveness. And there are major four pillars that we're working on in order to improve the cost structure. First, we want to improve the operational efficiency. So we're actively pursuing GX. We want to leverage GX and also transform the fundamental business process overall. We have various call centers that are now being turned into the automatic technology. And we're now shifting to web system in order to respond to customer inquiries. So we want to transform and improve our operational efficiency in these works. Also the other is to simplify our service delivery. With regard to unprofitable businesses, we want to scrutinize and consider possible elevation of those services. We could consider, carry out and accelerate service migration to other forms so we can transform from traditional service delivery to more advanced and more efficient service delivery. So if that is possible, we want to migrate to this type of new type of service delivery. That is the second pillar. The third is to improve efficiency in the utilization of facilities. So we want to pursue efficiency improvement in network as well as non-network facilities as well. Also with regard to idle facilities, utilization is not high, we're trying to remove those facilities as well. That will translate to reduction of maintenance costs. And we'll be able to reduce waste in operational activities. The fourth pillar, NTT East and West is pursuing outsourcing of various activities. So we want to reduce those costs pertaining to outsourcing. This is not easy to do, of course. In actuality, we need to simplify the way in which we place orders. We also need to internalize some of these operations internally. And we also need to improve the skills of the people and the talent at NTT East and West. Through those activities, we hope to reduce the outsourcing cost at NTT East and West. So these are the major pillars based on which we're trying to pursue structural reform. Now how much impact will this have in fiscal year 2025 and 2026, as far as that is concerned, we're trying to scrutinize the possible benefit. So if you could please bear with us before we can talk about the actual benefit. That is all.
Daisaku Masuno: Based on our presentation on your website, we see bar graph, you're talking about duplicate cost. This will have negative impact on P&L, but that negative impact will eliminate, evaporate next fiscal year. So you get the impression in that you see recovery in the regional communication business from next fiscal year. If we can see those positive impact in actual numbers, I think the people in the market will be -- seek more secure. So can you give us some numbers pertaining to the bar graph you indicate in your -- on your website?
Takashi Hiroi: Yes. I take your point. We know that we are causing various concerns on your part. As far as we're concerned, we're taking large-scale measures and the substance of these measures are complicated. So we want to work. And we would appreciate your patience as we can work out the benefit of those activities. But the trend is out there. After fiscal 2025, certainly the benefits and outcome can be seen. So we would appreciate your understanding at this juncture.
Daisaku Masuno: Thank you very much. If I can change to my second question. It's about the Integrated ICT Business. That's my second question. Based on your disclosure, we've got the fixed telephone business, as you explained earlier, even during the press conference. With regard to migration to IP network, you see a decline in the fixed line telephone business revenue. And also mobile side you see decline in voice service revenue. And overall voice service revenue is on a downward trend. So there is some negative impact from that. So we see a significant down trend in the revenue. What will happen to the trend going forward? We realize that first quarter is the most difficult one for you. But with regard to migration of fixed line telephone service, the negative impact of migration with regard to fixed line telephone service will become much smaller. So can you talk about what will happen from the first quarter up until the second quarter and the third quarter? Will the impact become smaller as we go through the next few quarters? I would appreciate your explanation, sir. Thank you.
Takashi Hiroi: Okay, thank you. Hiroi again. Let me respond to your question. With regard to impact from PSTN migration, that will be recorded in NTT Communications, and NTT Communications will be experiencing some downward decline in their operating profit as a result. But as you pointed out, on a quarterly basis, the impact from this migration will become smaller as we go on to future quarters. Right now, customers who are using PSTN services are now being switched to -- are now being asked to switch to a new IP-based network service. So going forward, we want to make sure that we'll be able to pursue this in a manner which will not have a negative impact on the performance going forward. So throughout the fiscal year 2024, there will be some impact from the migration, and there'll be some impact on a quarterly basis as well. But we hope that throughout this fiscal year, we'll be able to more or less control the negative impact from this migration. And hopefully, the impact will be much controllable, starting for next fiscal year. You also talked about mobile communication impact. This might be the repetition of our former response. With regard to ARPU and subscriber base, yes, we are struggling somewhat in both ARPU and in terms of the subscriber base. With regard to ARPU, there's impact from the introduction of [e-NMO] program. So there's impact of structural decline in the ARPU as a result of e-NMO. But then gradually, as we introduce new billing plans, there'll be some migration of people trading down their data plans. But eventually, there will be people who will switch to XMO, the new program. So there will be some impact that will lessen the impact of our trend in the ARPU. But structurally, there will be some continuation of downward trend in the ARPU for a little while. But then on the other hand, there's the impact from announcement of the strategic new billing plan. As seen from the previous quarter, we've been reinforcing our sales, especially at the large electronic retailers. But when we take a look at the first quarter, we will yet to see major impact from such activities at this moment. We're not yet able to demonstrate the positive impact. We're beginning to see positive impact, positive signs rather. And we believe that we'll see some improvements from the second quarter onwards going forward. So as a result of that, with regard to mobile service revenue, we will be able to lighten the downward trend in this mobile service revenue. We want to absorb the negative impact through cost reduction and achieve the annual profit plan at the end of the day. We are also doing POINT CLUB program as well. And these POINT CLUB programs are very beneficial for existing customers for DOCOMO. We're expecting positive impact from those elements as well.
Daisaku Masuno: Thank you. That's all for my question.
Takashi Hiroi: Thank you, sir.
Takuro Hanaki: Thank you very much. We would like to take the next question. SMBC Nikko Securities. Mr. Kikuchi, please unmute and then ask your question.
Satoru Kikuchi: This is Kikuchi speaking. I have two questions. This may be a bit of a qualitative question. When you made DOCOMO wholly owned subsidiary, and it's been four to five years since then, was there something good of that that came about? If there's something you felt, please share that. From the outside, if we look at it in the stock market and DOCOMO facing each other directly and we had a direct discussions and regarding the KPI, everybody was looking at them in detail. But we keep looking at and the ARPU continue to decline, and that's going to continue unless you correct this brand strategy they have right now. It seems like it is worsening. And your company, the holding company, you wholly owned DOCOMO. I'm just wondering if there was something good that happened. If you can give us the summary. I would like to hear it this time. If there is such thoughts and if it's difficult to share today, you can share at different opportunity. But Hiroi-san, if there's something that you can share as the good point of wholly owning DOCOMO, I would like to know about it. That's my first question.
Takashi Hiroi: Well, in fact DOCOMO, we bought out DOCOMO. And while we were doing that, Communications was made into a subsidiary company, and they are proceeding in their businesses. The effect of this, especially in the enterprise business area, towards our customers, it is being positively received is how we are looking at it. Well, we have spread of strong matters such as PSTN and since the last fiscal year. But excluding these special factors, overall, the mobile and the fixed line communications, there is a need from the customers of those being bundled as I said. And in addition to that, we're able to propose the network and the system side as well. So I think in this sense, we were able to generate a positive effect. And furthermore, in the consumer telecommunications, DOCOMO, we're conducting this business alone. And right now promoting it as a business being wholly owned. This is not the area that's going to show any immediate changes. And the DOCOMO's strategy they have right now is not showing the positive effect yet in acquiring new subs or improving the ARPU. However, you have expectations of them fully executing what they're planning to execute and improve the ARPU in the subs.
Satoru Kikuchi: Thank you very much. My second question is something that I always discuss with you. It's regarding group finance. NTT directly conducts the data center business overseas and you're making investments and NTT DATA is currently listed. So your place underneath NTT DATA or within DATA group. And the interest expense. You've been saying that your direction is to suppress that. And Nakamura-san is saying that as well. But in fact, that is increasing. And in order for that -- you're saying that you're not increasing it, but you are increasing it. Is there means through group finance to solve this situation, making the data centers into the REIT is what was mentioned. However, will that in fact solve the situation? And doing the calculation on my own, it's not clear to me either. So is it really going to have a positive impact on the EBITDA is my question as well. Therefore, don't you have any other measures that you can implement is what I would like to know.
Toshihiko Nakamura: Thank you. I would like to answer to that question. Currently, we are expanding the data center business. And basically, we subtract the debt -- excuse me, we are taking the debt and expanding the business. So the more the debt increases, then the payment interest will increase. There is that mainstream trend. If there's that structure that exists is what I'd like you to understand. And within that given situation, how much are we -- how were we going to suppress this increasing trend. The first is in the yen-dominated way. We've been executing yen carry as well. And regarding this last year, around the same timing, I did mention it, and we executed around the fall season of last year. And for us, we have to refrain from taking foreign exchange rates blindly. The Fed's direction and the BOJ's direction since last year, we are tracking that. And there were risks that it was going to be a stronger yen. So depending on the situation, we press the gas pedal or press the brake pedal. And this is just looking at the result, but if looking at the situation that happened the last several days, if we put too much -- if we press on too much of the gas pedal, then the risk will increase. And we can lower the interest expenses, but foreign exchange risk will occur. So there was a possibility of that happening and cause trouble to the shareholders and also utilizing some REITs and transferring some of the data centers over there. Reducing the overall volume of the debt is one measures that we're looking into and considering. So it depends on a certain level of volume. And depending on the volume of debt, the interest rate cost can be suppressed, and we can expect that is how we think. And also structurally speaking, the major trend that's occurring right now, do the asset builds up to a certain level and once it become that they will generate a cash flow. And when that scale becomes large, if the investment amount required to further expansion, then it will reverse and then the debt will start to go down. That will be the new flow. But currently, we are at the stage of expanding and increasing investments. So the debt is increasing. So we're at the stage where the debt is increasing as well. So regarding the situation for the growth strategy, we are causing some worries, but I would like you to understand our stance.
Satoru Kikuchi: Exceeding the ROIC interest rate, you are financing at that level. And the investment period is at five to 10 years and having the reverse situation probably will be 10 years or 15 years from now because you are managing the business. And while we are studying your company, whether we will be able to see that fruit or not, it's not clear. I'm just thinking having too much advanced investment. Is it really correct or not? So I would like to learn more from you moving forward. That's all.
Toshihiko Nakamura: It's not been that long, but at an early stage possible we would like to increase the margin and would like to be able to show you a certain level of return and we'd like to implement initiatives to realize that. So I would seek your understanding. Thank you.
Takuro Hanaki: Thank you very much. We'll go on to the next question from Daiwa Securities, Tokunaga-san. Please unmute your microphone and then go on to your question. Please go ahead, sir.
Kazuki Tokunaga: Can you hear me?
Takashi Hiroi: Yes, we can hear you, sir.
Kazuki Tokunaga: Thank you. My name is Tokunaga from Daiwa Securities. Thank you for this opportunity.
Takashi Hiroi: Please go ahead with your question.
Kazuki Tokunaga: Thank you. I'd like to ask two questions. My first question relates to the first quarter evaluation and your outlook for the full year. You had proceeds for sales of assets in the previous year. So we thought that the first quarter profits will be much higher. But because of DOCOMO and DATA, they have invested and cost much earlier. And we have the positive impact from these other companies are helped, are there to offset the deficit from NTT East and West. So please, can you give us your valuation of the first quarter results? And can you share with us your thoughts for the full year? That's my first question. Thank you.
Takashi Hiroi: Yes. Thank you for your question. Hiroi here. Let me respond to your question. As I mentioned at the outset of my presentation, the profit for the first quarter is in line with the overall annual plan. When we take a look at various segments by segment, there are of course variances from segment to segment. In the case of NTT East and West, they are faced with difficulties. But we had already envisioned the difficulties that they would have faced. So this was already envisioned. Also we're going to reinforce activities with regard to cost reduction as well as in terms of reinforcing our marketing efficiency. With regard to NTT Data, in totality, again their performance is in line with their projection. Now there's increase in operating revenue, but the operating profit is not that robust in certain cases. But still, we're only in the first quarter. As we move toward the fourth quarter, I'm sure that their operating profit will be expanding. When you take a look at the order placement, we're not concerned about the data performance at all. With regard to the Integrated ICT Business in totality, again, this is in line with your projection and with your plan. But it is true that the situation is somewhat challenging, especially on the consumer side. We are reinforcing our sales. But the reinforcement has not yet indicated major outcome at this moment. Perhaps this is one area where we need to work on. And as this was not unexpected, but the environment is somewhat challenging. So we need to make sure that we record as we head toward the end of the full year. So that is our valuation. I hope that was sufficient as a response.
Kazuki Tokunaga: Yes. Thank you. I take your point. So although the timeline may be different from segment to segment, at the end of the year you said that you'll be able to meet the plan. Okay, I take your point. Thank you for the response. Let me turn to my second question. It's about your data center operation. With the overseas data center, you're showing very strong progress. But what about the domestic data center business? We're not able to catch up on the progress of your domestic data center business. So can you share with us your future strategies as well as the current opportunities available for the domestic data center business?
Toshihiko Nakamura: Yes, thank you. With regard to the domestic data center business, the demand is very, very strong. The appetite is out there. So we're in a steadfast manner rather we're expanding our business scale. So over the next year or 2, the scale of new data centers will be rather compact. So in 2025, as we move toward 2025 and 2026, we'll be expanding our data center operations. So the expansion of data center operations will they translate into actual revenue, that will take at least two or three years before they could translate into concrete contribution to revenue. But we see demand for DX as well as the expansion of cloud service. We're also beginning to see demand for AI-based services as well. So the inquiries are increasing. Naturally, we need to secure power, those need to secure sites that these are the challenges as we try to pursue data center operations. But again, on these areas as well, we're working to secure land as well as necessary power supply. And so we're also expanding our abilities in this area as well. So if after 2025 we believe that the data center service will further be expanding their size at the time. That's my response. Thank you. That is my response. Thank you very much.
Kazuki Tokunaga: Thank you. What about group companies? Which company? Which group operating company will benefit most from your data center operations right now?
Toshihiko Nakamura: Well, when we take a look at the structure and the formation of our group companies at this moment, the global data center Japan, we have that business. Within NTT Group, in particular, when it comes to domestic new data center business, this company will be responsible for this business. To look at the new development, this company that I mentioned earlier will be handling the business.
Kazuki Tokunaga: Thank you. That is all for my question. Thank you for your response.
Takuro Hanaki: Thank you very much. We will take the next question, Okasan Securities. Mr. Okumura, please go ahead and please unmute. Excuse me. Mr. Okumura has canceled his question. We'd like to take the next question. From Citi Securities, Mr. Tsuruo, please unmute and ask your question.
Mitsunobu Tsuruo: I have two questions. First question. This is a very small segment, but Urban Solutions group performance situation and the outlook moving forward is I would like to know, they had a solid increase in revenue last year. And in the past, with the asset side, they have been generating a certain level of revenue new. So moving forward, are they going to generate profit in line with the plan? And in the pipeline, is there any additional asset sales or not, please share that with us.
Toshihiko Nakamura: Urban Solutions is conducting a real estate and properties business. And comparatively speaking, they are performing well. Last fiscal year, they had one-time income selling the assets. And their profit level throughout the year was at a high level. But this year, there's no such plan. So as a level of profit, it is going to slightly drop. However, looking at the first quarter situation, the condominium sales or for the renting and leasing business, they are performing strongly. Therefore, for us, afterwards achieving the annual plan, we do have high expectations.
Mitsunobu Tsuruo: Thank you very much. My second question is regarding share buyback. ¥200 billion share buyback decision. I think at this timing is a very good decision. Within the uncertain market situation, you set the period of share buy back towards the next March. That is the base of my question. If the market becomes dislocated, how should we think about the additional room for additional share buyback? I believe that you have advanced investment for capital investment and you do have increasing our cash flow, free cash flow level. So I want to just know about the flexibility that you are considering.
Toshihiko Nakamura: Thank you very much for your question. Well, in fact how is the market going to crumble, it will depend on -- or become dislocated, I believe it depends on the scenario. See, our shares are quite strong against the downside, meaning that compared to the price dropping level of the market, we have a lower degree of dropping. But in fact how much of volatility that the market is going to have, it will depend on that situation, if the volatility is too large, we'll have to think about it. But regarding the size or the scale that trying to predict that from this point is slightly difficult is what I think. But for us, the stance, putting importance on our shareholders and the responsibility to our share price, we are quite aware of that. Therefore, if the situation deteriorates, we will take necessary measures. That is one of the choices that we are considering. I hope that you understand.
Mitsunobu Tsuruo: This concludes my question. Thank you very much.
Takuro Hanaki: Thank you very much. Next question? Are there any other questions? If not -- sorry, Okumura-san from Okasan Securities, please unmute your microphone and please go ahead with your question.
Yusuke Okumura: Thank you so much. Can you hear my voice?
Takashi Hiroi: Yes, we hear you, sir. Please go ahead.
Yusuke Okumura: Okumura from Okasan Securities. Thank you. I apologize. I have two questions. The first question is with regard to the new mini-management strategy. EBITDA plan, if you want to achieve the EBITDA plan, it's important that starting for next fiscal year you realize 20% growth starting from third year in the plan. Right now, it's 6% or 7%. So it does not seem realistic. So therefore, how much organic growth? And also how much impact from M&A do you see when you try to attain the target under the medium-term plan? Has the situation changed from the start of the plan compared with right now? Also, EBITDA, if EBITDA target seems difficult to obtain. Will the same trend apply to EPS? Or are you going to use shareholder returns? Are you going to still remain committed to the shareholder return? That's my question. Thank you so much.
Takashi Hiroi: Yes, thank you. Hiroi here. Let me respond to your question. As you pointed out in your question, the midterm plan target for EBITDA, if we want to achieve the target, we consider the performance for the fiscal year or previous fiscal year and this fiscal year, yes, achieving the target seems challenging, we cannot deny that view. Now are we going to use acquisition, what about the organic growth, what is the balance between acquisitions and organic growth? If we are to meet our plan, then the percentage of acquisition will have to become somewhat larger. That possibility, again, we cannot deny at this juncture. So as far as we're concerned at this moment is concerned, we want to maintain the plans and the targets going forward. So at this moment, we're going to continue to advance with the current plan and aim to achieve the targets contained under the current plan in the current format. We would appreciate your understanding on this point. Now you asked about EPS. If EPS target becomes difficult to achieve, what will happen. That was your question, I believe. As far as this point is concerned, in line with the EBITDA growth, we also saw -- we also were considering growth of EPS. So if we were to realize further medium-term growth, what type of cash allocation can we do? If the growth is slow, are we going to also relax and are we going to translate that to increase shareholder return and try to improve EPS? Or are we going to continue to make investments in a robust fashion. Again, the curve for EBITDA growth, how much can we go for -- how can we go as far as the curve for EBITDA growth is can go? So that will involve major management decision at that juncture. We need to monitor the decision carefully and then take a look at the situation. Of course, you need to take a look at the recent performance vis-Ã -vis take a look at EPS, and so the process for medium-term growth. We need to make sure that we take into consideration all these aspects to make sure that we can provide ample shareholder return. And based on that, we want to make a management decision. So we want to monitor the situation for a little while longer. Thank you. That is my response to your question.
Yusuke Okumura: Thank you. Thank you for a careful explanation. I'd like to turn to my second question. It's with regard to NTT East and West. MIC now has a working group. And the working group is now discussing the possibility of allowing integration of East and West as one possibility. Now there are -- what are your views to people who oppose the integration of NTT East and West? And maybe I'm being a bit premature. But if integration of NTT East and West becomes one possibility going forward, what would be the advantage to the shareholder? What about the impact on PL as a result of cost efficiency improvement? What will be the impact of balance sheet? If you can give us a rough image of the potential benefit of the integration between NTT East and West I would appreciate your thoughts. Thank you. That's my question.
Toshihiko Nakamura: Thank you, sir. Yes. Thank you for your question. As far as we're concerned, we have consistently maintained that we have -- we've consistently talked about the possibility of integration between NTT East and West. At the same time, yes, there are people who voice concerns over such plans, we are aware of those oppositions. Right now they're trying to work out the various views at the working group. But ultimately, I'm sure they will come out with an official recommendation. So in that process, there will be conclusions that will be discussed, I'm sure. Now if NTT East and West could be integrated, then this will have major benefits as far as we're concerned. Naturally, they're involved in providing similar services. They have similar networks as well. So NTT East and West can provide one identical operation. And this will improve efficiency of the operations because this will entail economy of scale. So economy of scale as a result of integration will be quite significant. Also, as far as services are concerned, we'll be able to offer consistent services across Japan nationwide. That will be in the interest of the company, there will be interests for the consumers and will also offer a benefit for the consumers as a result, but they can be of better convenience. So that is why we are making those proposals and arguments. Thank you.
Yusuke Okumura: Thank you. Thank you for your explanation. That's all for my question. Thank you very much.
Takuro Hanaki: Thank you very much. Are there any other questions? No further questions? If so, since there are no further questions therefore, with this, we would like to end this briefing session. NTT DOCOMO's briefing session will follow. Therefore, for those of you will who participate in that, please remain connected. Thank you very much for today.